Operator: Good evening, and welcome to Universal Music Group's Fourth Quarter and Fiscal Year Earnings Call for the period ended December 31, 2023. My name is Nadia, and I'll be your conference operator today. Your speakers for today's call will be Sir Lucian Grainge, Chairman and CEO of Universal Music Group; and Boyd Muir, Executive Vice President, CFO and President of Operations. They will be joined Michael Nash Executive Vice President, Chief Digital Officer. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Please also let me remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of the company's control. Although, these forward-looking statements are based on management's current expectations and beliefs, actual results may vary in a material way. For a discussion of some of the factors that could cause actual results to differ from expected results, please see the Risk Factor UMG's 2022 Annual Report, which is available on the Investor Relations page of UMG's website at universalmusic.com. Management's commentary will also refer to non-IFRS measures on today's call. Reconciliations are available in the press release on the Investor Relations page of UMG's website. Thank you. Sir Lucian, you may begin your conference.
Lucian Grainge: Thank you, operator, and thanks to everyone for joining us on today's call. I'm thrilled to have the opportunity to report to you on another extraordinarily successful year for UMG. There is much to say, but my principal focus will be on three key areas, what we accomplished last year in 2023, our priorities for this year 20'24 and how our global organizational redesign is planned to accelerate our long-term growth. First, let's look at our exceptional performance last year. Exceptional creatively, financially and strategically. With 2023 year full year revenue growth of 11% and adjusted EBITDA growth of 15% in constant currency we've continued our strong performance since our listing in 2021. The source of all our success is, of course, our artists and songwriters. They had so many achievements last year. I'll take a moment just to highlight a few of them. For more than a decade now, the IFPI, the Global Recorded Music Industry Association, announces the world's top-selling best artists for the year, taking into account both physical and digital sales as well as streams on subscription services and ad-supported streaming. How did we do last year? Well, UMG had nine of the top 10 of the world's most commercially successful recording artists, including all of the top eight, with some obviously expanding their success globally as well. In the worldwide Taylor Swift was at number one. No other company in the history of the IFPI chart has come even remotely close to UMG's outstanding performance last year as well as year after year. Here are a handful of some of the other remarkable achievements by our artists, in 2023. Of the top 10 global artists on Spotify, UMG had six. Of the top 20 global Apple music, we had 13. And on YouTube, UMG artists had three of the top five songs with Morgan Wallen's, "Last Night" at number one. In the US, the world's largest music market, the foremost streamed artist on, Spotify were ours, Taylor Swift. Drake, Morgan Wallen and The Weekend as were six of the top 10 albums on the Billboard 200. And on Billboard Hot 100 songwriters in the US, Universal Music Publishing Group had three of the top five. In the World's other major music markets our artist success was similarly spectacular. For example in Japan, the World's second largest market by revenue, UMG had five of the top 10 albums. In Germany, we had six of the top 10 albums. Our successes in these and other countries were achieved by combination of local artists as well as our global superstars. It's a clear indication of our strategy at work. I'll have more to say about that in a minute or two. And whilst I'm enormously proud of our offices and teams for achieving the seemingly impossible year-after-year, we are, as we must be, relentlessly focused on the future and that's why I'd like to discuss next, exactly what our company and the industry will look like in the immediate and longer-term future. Let me begin. I look forward with a brief look, I suppose. Why? Because some of the steps we started taking in 2023, are already having a major impact in 2024 and will continue to do so in future years as well. Around this time, last year, in discussing our 2022 performance, I spent some time outlining our artist-centric approach. A transformational strategy designed to put into place proper incentives for platforms and our partners to promote artist discovery, reward real true artistry and build deeper engagements with fans by cleaning up all the noise, fraud, an algorithmic gaming that was contaminating fans experience in seeking out real music that they want to discover. I then went on to say that, the transformation of this scope and complexity will take many years. Which is why, we were particularly encouraged to see that in a matter of just months, several platforms including Visa and Spotify, announced their plans to profoundly advance our collaborative effort in this, by adopting artist-centric principles that in time will benefit Independent, Major and DIY artists alike. I can't adequately express, how gratifying the show of leadership from many of our platform partners has been by providing fans, artists and music companies, music companies of all sizes within an environment that revives the fundamentals of artist discovery and artist development. These partners are paving the way to strong commercial growth. Whilst fully accomplishing our artist-centric goals will take years, we hope to see more platforms adopting artist-centric principles in the near future. And we're excited about our recent conversation with our platform partners, about monetizing super-fans and developing premium-tiers for our best music customers. In my remarks last year, I also made one other point about the artist-centric approach, that has recently become a, I suppose a rather hot topic. And that is this with a philosophy that must apply to all platforms that are reliant on artists and song writers and their music, all platforms, not just music streaming platforms, all platforms including short-form video and social media. We meant it a year ago and with artist-centric principles being put into practice, we mean it even more today. We are committed to supporting a healthier, sustainable, exciting and yes, more competitive music ecosystem, an environment in which great music is not drowned out by a sea of noise, where music is easily and clearly accessible for fans to discover and enjoy and most importantly, an environment in which the creators of all music, all music content, whether in the form of audio or short-form video are fairly compensated and that will therefore be able to thrive as artists and creators for decades to come. There must not be free rides for massive global platforms such as TikTok that refuse to meaningfully address issues around AI, platform safety or pay their fair share for our artists and Sunrise's work. That is why we are grateful for the outpouring of support not only from individual artists and songwriters but from Artist rights organizations, independent labels and publishers, songwriters advocacy groups and others, who share our resolve that all platforms that operate or seek to build businesses on the music of artists and songwriters must protect as well as fairly compensate them. Relating to a key concern we have with TikTok, our responsible AI initiative was launched last year to place the protection of artists and the advancement of their interest at the very core of how we think about AI. It includes things like ensuring that human artists are not economically disadvantaged, protections against deep fakes and transparency requirements for AI companies regarding how they train their models on our IP and the artists work and their creativity. It is critical that as an industry we advocate for the public policies that put appropriate guardrails in place, so that the market can best deliver win-win outcomes. That's exactly at the core of who and what we are win-win outcomes. And that's why we're forging innovative private sector partnerships with AI tech companies. Having learned from the industries, many prior encounters with disruptive technology. We decided to take an unprecedented first step this time around. We learned. Instead of waiting for AI to take hold and then trying to figure out business models that will fairly compensate artists and music companies. We got ahead of the game this time. We formed a historic relationship with our long-time partner YouTube, whereby we and our artists have a seat at the table to help shape the technology development and determine how to harness and monetize it for the benefit of the entire creative community. And to be honest that's what we expect from all our partners. In addition to YouTube, we're also collaborating with a number of entrepreneurial enterprises are market-led opportunities and approaches. Always with artists at the forefront of our thinking. Even as we're helping artists protect their rights to their work and their names and likenesses, we fully understand that the technology is not just a threat. The reality is that AI has the potential to enhance and support the creative process and produce revolutionary music experiences. So we continue to strike groundbreaking agreements with companies to develop responsible commercial uses for AI and expect many more exciting developments and partnerships this year. Looking at 2024 and beyond, I'll turn now to the accelerating expansion of our global presence, which I referred to earlier. I am happy to report that our stated strategy is already making some exciting advantage. But this year and in the future, will accelerate our growth in amongst other places China, South Asia and Africa. The strategy has three goals. The first of these focus is on signing artists outside of established music markets. One major example is China. In December, we unveiled a new strategic partnership with Jay Chou, the internationally renowned King of Mandopop and his prestigious label JVR music. In addition to securing the rights to Jay Chou's extensive music catalog as well as his future projects, we're also pleased to be supporting rising talent new artists from his label JVR. The addition of Jay Chou who is the IFPI Global Album Sales Chart leader, in 2022 UMG's artist roster, underscores our commitment to developing Mandopop music globally. At the end of last year following the recent Chin Up his first studio in five years we were thrilled to announce UMG China's renewal of his contract with Chinese Pop mega star Eason Chan. With 75 billion streams to his career, I'll repeat that, get your head around that 75 billion streams so far we’re excited to see how this wonderful one of kind artist, how far he can actually go. The second element of our expansion strategy consists of providing local labels and entrepreneurs with global promotion distribution and the full suite of artist services. Our Virgin Music Group is a key part of that strategy, with great leadership serving as a vital local and global partner to labels and entrepreneurs around the world, different regions, different markets different cultures. In each market we take a bespoke approach. In India, we're just now embarking on a significant partnership with REPRESENT, an independent talent management company whose artists will now have access to UMG's global footprint across distribution, publishing, brands and more. Through this partnership, along with those with Desi Melodies and TM Ventures as well as UMG's in-house labels, UMG India is leading the Indian music market in reflecting the vibrant diversity of genres and styles and languages in that country while also supporting the independent music team. The third global accelerator is partnering with and investing in local labels catalogs our artist services business. There are two very recent deals we have great hopes for. As is the -- and this is the core of the business. Continually seeking new scenes styles and market developments. Earlier this year, we entered into an agreement with the Iconic Salvation record label Oriental Star Agencies. We've acquired their catalog of audio and video recordings as well as publishing rights to approximately 18,000 songs featuring many legendary and genre-defining Pakistani and Indian artists. OSA is the most prominent South Asian record label in the UK. It is been pivotal in establishing the UK and noting the careers of new significant British and South Asian artists. Our acquisition of OSA will further drive the momentum of our South Asian music business and they've being local artists to reach their largest possible audience in a global community. Further, earlier this week, we were particularly excited to announce our majority investment in Mavin, one of the world's most dynamic and exciting independent record labels. Based in Nigeria, Mavin is home to and the driving force behind many of the African continent's most established and accomplished artists, including Rema who is responsible for the biggest afrobeat song of all time, the most viewed video of all time by an African artist on YouTube and the first African tractor surpass one billion streams on Spotify, pretty impressive. Our investment in Mavin will provide UMG greater exposure to the fastest growing continent for recorded music consumption. Thanks to young demographics and increasing connectivity, Africa, we believe is poised for significant growth. Mavin also gives us an opportunity to increase our global presence in afrobeat. Streams of afrobeats should be noted in the US for the first half of 2023, for example, increased by 34% year-on-year. Founder and CEO, Don Jazzy and COO, O. Tega, who were proven creative executives and very experienced A&R professionals will continue to lead Mavin. In addition to our accelerating international expansion, I want to discuss another key investment we've made this year that can accelerate our future growth for years to come. As Boyd and I have stressed on prior calls, we use our cash wisely. And we're extremely selective in right acquisitions. Last week we announced that we are acquiring an interesting Chord Music Partners. Chord is the leading music investment fund formed by Dundee Music Partners and KKR in 2021 to acquire premium music right. Today the fund has made a number of catalog rights acquisitions and is home to more than 60,000 music publishing and recorded -- as well as recorded music copyrights. We're excited about this transaction for several reasons. First Chord’s recorded music catalog and music publishing catalogs are very high quality. And through the Global Resources Virgin Music Group and Universal Music Publishing Group, we will actively manage them. Second, through a combination of leverage and partner equity capital, the structure of the deal provides us with a platform for recorded music catalog acquisitions and publishing catalog acquisitions without significant further capital allocation. And finally with Dundee Partners, we have a partner who shares our long-term bullish vision for opportunistically and flexibly acquiring significant premium, as well as timeless music catalogs. All of this activity from achieving record-breaking artist performances to encouraging sustainable industry growth through supporting innovative business models and being enough to encourage them to embracing cutting-edge technology and securing a seat at the table in the development of perhaps the most transformative technological evolution that we've seen for many, many years. Lastly to partnering with companies that accelerate this strategy. All of this requires that we continually make sure we have the right organizational structure to extend our success. In this context, we are redesigning our global organization. To put it simply, we're creating the blueprint of the music company and the labels of the future. When it comes to signing artists, our labels will act with even greater flexibility and speed. And when it comes to supporting their rosters, they will have access to our highest-performing internal teams and resources to bring the new artists to even higher levels of success and that includes new artists, as well as the currently established ones. The redesign carefully preserves what we're best at, creative A&R, marketing independence, unique label brand identities, which is very, very important and entrepreneurial and internally competitive spirit, while creating efficiencies that will generate more impactful support promotion, distribution, audience, monetization, B2C, e-commerce and other areas. In the few moments, Boyd will walk you through the financial details and annualized savings, the redesign will produce, above and beyond its significant strategic benefits. For example, the redesign will enable us to lean into new growth areas that will address the next phase of our artist-centric initiative, the strengthening of the artist-fan relationship. We believe that signing and developing new generations of talent imposes on us an obligation and an opportunity to provide those artists with the widest possible range of options through which their talent can shine, and be available to their fans. We already act on this belief through our expanding audio-visual strategies, award-winning original short-form and long-form content while continuing to build out brand sponsorships, merchandise and artist branded products. But we will do more as we expand the range of these options going forward. For example, to accelerate our artist ability to connect with their most ardent fans, last week we also announced the strategic partnership and investment in complex network. This new company whose other investors include the original Interscope and Beats founder, Jimmy Iovine, a good friend of ours is a combination of the iconic digital media culture brand with fast-growing marketplace technology. Together complex and network form a defensive cultural, commercial, content and experiential platform reaching a large and dedicated audience. This is to create a new commercial marketplace for the super-fan. Our collaboration with them will also give our artist access to a dynamic network that will deliver industry-leading and culturally innovative opportunities to deepen connection with both super-fans through unique and unprecedented experience content offerings that will create a powerful market into a powerful marketplace, as I said, to sell products. We're looking forward to this collaboration. I'm pleased to be reunited with Jimmy, who will help drive the complex network strategy. Let me close with this final thought before I turn it over to Boyd. Whilst UMG has been around for generations and the experiences of this management team spans many decades. We're aware of the fact that as a public company, we’re still young. But in the short time since we've been public, we hope that we've demonstrated that we do what we say. We set strategic goals and we deliver. Going forward, we're committed to continuing delivering for our artists and our shareholders. 2023 was a busy year for us that bought us positive changes. And as you can see already in 2024, we've only accelerated our pace. And there's so much more to come. And with that, thank you. And Mr. Boyd, I'd like to turn it over to you.
Boyd Muir: Thank Lucian. You've heard from Lucian about the exceptional performance of our artists and songwriters as well as both the industry-wide and UMG strategic initiatives we continue to drive forward. These initiatives have translated into continued strong performance in 2023 with robust growth in both the top and bottom lines. For the year, revenue grew 11% and adjusted EBITDA grew 15% in constant currency, with revenue growth continuing to outpace our mid-term guidance and absolute adjusted EBITDA ahead of expectations. This resulted in an adjusted EBITDA margin of 21.3%. A portion of our strong revenue growth comes from lower margin, but incrementally profitable physical and merchandising revenues. Physical and merchandising revenues were both above our expectations in the fourth quarter, and revenue mix is an important component when considering margin trend. In addition to revenue mix, one-time items can have a significant impact on margins. And in Q4, there was an unanticipated one-time item, which when excluded takes adjusted EBITDA margin for the year to 21.5%, a 90 basis point improvement compared to the 20.6% margin we reported in 2022. Please note that, adjusting for all one-time items in both 2022 and 2023, adjusted EBITDA margin improved 1.2 percentage points. 2023 earnings per share grew to €0.69 up from €0.43 and adjusted diluted earnings per share grew to €0.87 up from €0.80 in 2022. We had €561 million in non-cash share-based compensation expense and €76 million of cash compensation savings in 2023. For 2024, we expect about €260 million in share-based compensation expense €80 million of which reflect the final impact of one-time transition grants and front-loaded accounting recognition. We are delighted with the healthy growth we continue to see throughout the business. Now, to put the year into context for you. Since our listing Revenue growth has meaningfully exceeded our midterm guidance of high single-digit CAGR growing at a CAGR of over 14% and adjusted EBITDA has grown even faster at a CAGR of 16.5%. For free cash flow before investments has more than doubled from €817 million in 2020 to over €1.7 billion in 2023. And free cash flow after investments has grown to over €1 billion a year for the past 2 years even as we've continued to make meaningful strategic long-term investments in our company. Turning to the fourth quarter. As I mentioned the fourth quarter of 2023 included an unanticipated one-time item negatively impacting Recorded music adjusted EBITDA. We booked a €15 million provision related to the latest court decision in a decades old artist estate litigation in Latin America. This has been a highly unusual process, and several appeal options remain open to us. But taking this charge is the required approach for the time being. In the fourth quarter, revenue growth was strong across all three business segments. With total revenue up 15.6%. This revenue growth was higher than we anticipated with physical sales especially strong. Adjusted EBITDA grew 15% in constant currency and adjusted EBITDA margin was flat at 21.1%. However, excluding the legal provision adjusted EBITDA for the quarter grew 18% to €692 million and our margin grew 0.5 point to 21.6%. Now let me turn to the results from each of our business segments. Recorded Music revenue grew nearly 15% for the quarter and 10% for the year in constant currency. You'll recall that full year 2022 results included a settlement from a copyright infringement lawsuit with an Internet service provider which was included in other digital and amounted to €71 million in revenue and €52 million in EBITDA. Excluding this settlement from the prior year recorded music revenue grew 11% in 2023. Recorded Music adjusted EBITDA grew 11% for the year. Excluding the onetime items in both years Recorded music adjusted EBITDA grew 15% and adjusted EBITDA margin expanded 0.8 percentage points to 24.3% from 23.5%. Physical revenue growth was especially strong up 17% in the fourth quarter and 19% for the year. Physical revenue represents incremental spending from super fans above and beyond streaming revenues. But the margin percentages on physical are less than on streaming. So the exceptional growth of our physical business helped drive our strong EBITDA growth but due to the revenue mix impact lowered our overall margin percentage. Inevitably after seeing such remarkable growth it will be difficult to sustain performance at this level in 2024. However, we do believe the physical business can grow over time as we increase our capability to connect fans with our artists. Looking further at recorded music revenue, we continued to drive strong double-digit subscription growth up 15% for the quarter and 13% for the year. The acceleration in growth this quarter compared to the first three quarters of the year was driven largely by the price increases at Spotify. Ad supported streaming revenue grew 5.6% in the fourth quarter and 3.6% for the year. Demand from music-based consumer engagement from advertisers remains strong. But the ad market recovery has not been uniform across all partners and regions and we remain cautious on the near-term growth outlook for this part of our business. With regard to TikTok we've disclosed that our former deal generated about 1% of total UMG annual revenue. Because other platforms in the social video category achieved much greater monetization, we're focused on accelerating our partnerships with YouTube, Meta, Snap and others. And we look forward to updating you in the coming weeks ahead about exciting competitive developments and incremental opportunities emerging within the category. License and other revenue grew a robust 34% in the fourth quarter and 14% for the year with continued under -- excuse me, with continued underlying strength in licensing. And in the fourth quarter, we saw timing-related outperformance in neighboring rights and synchronization touring sponsorship and also the benefit of a new licensing deal. Downloads and other revenue declined 46% in the fourth quarter and 36% for the year. The decline in the fourth quarter was a result of the continued industry-wide shift away from downloads as well as other digital revenue. For the full year 2022, other digital revenue benefited from the €71 million legal settlement I previously mentioned. For the year revenues, grew at high rates around the world led by 21% growth in Asia, 19% in Latin America and 11% in Europe. Top sellers for the year included multiple albums from Taylor Swift and albums from Morgan Wallen, King & Prince, Karol G and The Weekend. Top sellers for the prior year included Taylor Swift, BTS, the Encanto soundtrack Olivia Rodrigo and Morgan Wallen. Turning now to Music Publishing. Revenue grew 15% in the quarter with 36% growth in digital and 25% growth in synchronization revenue. For the year, music publishing revenue grew 12% with healthy double-digit growth across all major revenue lines, including digital revenue up 13%, performance revenue up 16%, synchronization revenue up 10%, and mechanical revenue up 15%. Excluding onetime items, Music Publishing revenue grew 16% in 2023, thanks to healthy growth across all revenue streams. Music Publishing adjusted EBITDA grew 18% for the year and adjusted EBITDA margin expanded 1.2 percentage points to 24%. Now merchandising. Merchandising revenue grew 27% in the quarter and 18% for the year. Both the quarter and the year reflect outsized direct-to-consumer sales driven by continued super fan demand. B2C growth more than offset the decline in touring revenue that we saw following the 2022 post-pandemic touring rebound when many of our merchandising artists were touring. Merchandising EBITDA -- excuse me our merchandising adjusted EBITDA grew 38%. And adjusted EBITDA margin expanded 0.9 percentage points to 6.7% helped by the shift to direct-to-consumer sales, which have a higher margin than both retail and touring sales. Net profit for 2023 amounted to €1.26 billion compared to €782 million in 2022, resulting in earnings per share of €0.69 compared to €0.43 in 2022. The increase in net profit in 2023 included an increase of €425 million in the valuation of investments in listed companies, compared to a decrease of €617 million in 2022. Adjusted net profit, which adjusts for the revaluation of these investments, as well as adjusting for share-based compensation expense amongst other items grew 10% and to €1.6 billion in 2023, resulting in adjusted diluted earnings per share of €0.87 compared to €0.80 in 2022. In line with our commitment to pay a dividend of at least 50% of our net profits as adjusted for certain noncash-related items, UMG has proposed a final dividend for 2023 of €492 million or €0.27 per share. This would bring our full year dividend to $0.51 per share in line with 2022's dividend. As Lucien discussed, we are redesigning our organization to enhance our capabilities in the areas most critical to our future growth and success. These changes will strengthen our leadership team, foster innovation and create significant efficiencies across our business. We expect to generate €250 million in run rate cost savings, which will be accretive to our margins and which we will finish implementing by the end of 2026. The first redesign phase, which we are executing on imminently, we'll achieve €125 million in annual run rate savings, €75 million of which will be realized in 2024 with the full amount in 2025. In 2024, we expect to incur restructuring charges of €125 million, of which approximately €100 million will fall into Q1. We will look -- we will continue to look at accelerating our progress on Phase 2. And if we are able to do so, we could see some additional savings and severance costs later in 2024. Now, let me turn to cash flow. Our net cash provided by operating activities before income taxes paid for 2023, increased 15% year-over-year to €2.3 billion. As a reminder, this includes the €132 million we paid to settle employee tax liabilities arising from the equity plan grants. We opted to fund the taxes with cash, rather than issue shares, which reduces the dilutive impact of the grants. In a similar manner, we intend to settle the employee taxes payable in cash for the March 2024 grants. Due to the timing of artist deals, royalty advance payments, net of recruitment amounted to €100 million, down from €148 million in 2022. Income taxes and net interest paid both grew year-over-year, partially due to the prior year having benefited from €90 million in previously disclosed tax settlements and the associated interest income. Net interest costs were also impacted by the higher rates on our variable rate debt. Even with the higher interest and tax spend, our free cash flow before investing activities reached €1.7 billion in 2023, a 6% increase over the prior year. Conversion to free cash flow before investments was 72% of adjusted EBITDA. This significant cash generation allowed us to continue our long-term strategic investment in the business. We spent €622 million in investments including both catalog and other acquisitions. Even with the meaningful investment spending, we maintained free cash flow at over €1 billion for the second consecutive year. To give you a bit more color on our investments, in 2023 we spent €178 million on catalog acquisitions, down from €359 million in 2022. Catalog spending in the second half of the year included our previously announced acquisitions of RS Group in Thailand and Oriental Star agencies, a British label focused on South Asian music as well as several smaller artist deals. As we've continued to see and is now exemplified by the deal we've announced with Chord, it is not a strategic priority to use our balance sheet for large catalog acquisitions. And I will talk more about the Chord transaction in a moment. The remainder of our second half 2023 investment spending focused largely on deals which push forward our strategic initiatives. This includes the acquisition of UAE-based music company Chabaka, as we continue investing in high-growth music markets. We'll update you further on our investments and plans when we hold our next Capital Markets Day, which will be in September at our iconic Abbey Road Studios in London around the third anniversary of our listing. For 2024, it's worth noting that the three deals Lucian discussed, the acquisition of Mavin Records, the investment and complex network and the investment in Chord will collectively account for approximately €450 million of investment spending. We have a very healthy balance sheet with low debt and significant flexibility. Our net debt declined to €1.7 billion at the end of 2023, leaving us with a leverage ratio below one times EBITDA. Our capital allocation priority remains reinvestment in the business both through signing and developing artists around the world and where appropriate through continued strategic M&A opportunities. Now let me spend a moment on Chord. We're pleased to have recently announced our acquisition of a 25.8% stake in Chord Investment Partners, an existing vehicle currently owned by Dundee Capital Partners and KKR. Chord is a special purpose vehicle, which owns over 60,000 copyrights from 10 catalog acquisitions including Kobalt rights management too. Chord is an interest in over 20 of the top 100 most streamed songs of all time in Spotify with a catalog including music from The Weekend, One Republic, David Guetta, Lorde, Kid Cudi, Diplo, Ellie Goulding, ZZ Top, John Lennon, Twenty One Pilots and many others. As part of this transaction, UMG and Dundee are buying out KKR's equity and Dundee will own the remaining 74.2% of Cord. Being part of Cord will allow UMG to tap into an already scaled acquisition platform to optimize for potential future catalog acquisitions without significant UMG capital allocation, through a combination of Cord's leverage and also partner equity capital. Additionally, UMG will take over distribution and administration for all current and future assets of the fund towards the end of 2024. The acquisition was done at an effective 17 times EBITDA multiple. This multiple includes UMG's interest in Cord as well as the income from distribution and administration rights we will pick up, but does not any anticipated uplift in the performance of the catalog from bringing the administration to UMG. So, thank you. And with that, Lucian, Michael Nash and I will now take your questions. Operator, please open the line for Q&A.
Operator: Of course. [Operator Instructions] Our first question goes to Ed Young of Morgan Stanley. Ed, please go ahead. Your line is open.
Ed Young: Hello. Thanks for taking my question. It's on Cord. You just touched on it Boyd. I wonder if you could perhaps help us understand what your preference to be, when your preference might be to acquire additional catalogs through Cord and when you might prefer to do it alone? Is it just about the size of the ticket you'd be willing to write or are there other considerations in there too? And then perhaps you can help us frame, what kind of uplift you've typically achieved by bringing distribution to the administration of catalogs and house if we can think further about the multiple? Thanks.
Boyd Muir: Thanks Ed. I mean as we said before. When we look at catalog acquisitions, we're very, very selective. These are opportunistic. We have great visibility in terms of data. But here with the investment in Cord, we have a vehicle that's set up specifically for the purpose of pursuing investments in catalog. We would much prefer to put any such investments through this vehicle that utilize our own balance sheet. As we've mentioned this is a pre-established vehicle. Dundee partners and ourselves are only really interested in capital that's got a long-term horizon. But it's long-term horizon capital, who actually want to partner and co-invest alongside the leading music company in the world. So, we're very, very excited about it and we see our investments going through, Cord as opposed to actually being financed off of our own balance sheet.
Operator: Thank you. The next question goes to Michael Morris of Guggenheim Partners. Michael please go ahead your line is open.
Michael Morris: Thank you very much. I'd like to ask you a couple about your comments on TikTok and the dispute there. And first you listed a couple of components of that discussion AI platform safety paying fair share in particular. I wonder if you could prioritize for us or share if you are closer or farther apart on any of those specific issues? You also talked about YouTube as a partner and maybe an example of a successful partnership. And is this a situation that could be as simple as using the parameters of your YouTube relationship as the parameters for the TikTok relationship? And then just finally, Boyd you mentioned perhaps a couple of areas where you may be able to expand relationships with other social media partners. And my question there is can we assume that revenue generation or your revenue relationship with those partners is variable such that if they were to be share takers in the marketplace you would anticipate in that financially? Thank you.
Lucian Grainge: All right. It's Lucian here. I just -- as you rightly say, we've outlined the three issues that became a deep concern to us over a long period of time. We have a responsible AI strategy. We've made win-win partnerships and protected partnerships for the technology which we're excited about. And I see no alternative other than to work with people that share that responsibility as well as vision. I spent my entire career creating win-win situations whether or not it was negotiating with the likes of Woolworths or Costco or Walmart or MediaMarkt or FENNEC over the decade when we were a transactional business. And those win-win positions are something which I learned, we learned, and we continued within all our digital deals. We negotiate and deal with platforms that combined as I said are worth trillions. And we've been able with all of them all of them to create win-win solutions which are protective of content protected creators IP copyright. Their share compensation. In addition to that with regard to all of these platforms and I suppose specifically around TikTok. We like to be friendly. We're friendly people. More than happy my phone is open unfortunately 24 hours a day. And we hope that we will be able to find solutions. And as I said we are friendly people that like win-win situations that we've laid out what's important to us, and I believe it's important to the industry. I believe it's important to our rights and artists.
Michael Nash: Michael to the second part of your question let me amplify a few of the points that Lucian made and provide a little more specification with respect to specific acceleration of competitive partnerships. So, yes, consumption shifts from TikTok to other short video platforms like Reels or YouTube Shorts we believe that we can in fact recapture some lost revenue. Keep in mind, over half of TikTok monthly active users already also use other short video services. In some markets, that percentage is as high as 70%. These are services that monetize engagement at a much higher rate. So revenue positive consumer migration is easily foreseeable. And remember, we have a real-world example to look at here with respect to TikTok in India. TikTok was banned in India in 2020. They had 20 million users at that point. It was the largest market for by dance short video outside of China. All that engagement after they were banned went to other global and local platforms. The adoption of short video continued its growth unabated. So we've seen mass consumer migration away from TikTok take place before. Because other platforms and social video category provide much greater monetization. We're focused on elevating and accelerating our partnerships with YouTube, Meta, Snap and others. A few examples. Meta has rolled out dozens of campaigns on their platform since February 1 featuring artists such as Liam Payne, The Weekend, Noah Kahan and Selena Gomez. Snapchat is elevating how they value UMG artist Music, reflecting what our artists bring to their platform, introducing new ways to facilitate deeper connections between artists and super fans. For example, Snapchat has rolled out a new playlist feature with UMG artists including Taylor Swift, Olivia Rodrigo and Ice Spice launched or for coming. And with respect to YouTube, which you specifically mentioned, they've launched a major shorts driven multi-format Carol G campaign about two weeks ago. And that's helped Carol's music reach a huge audience of 100 million viewers across the touch points of their platform short and video on demand. This is the first of many planned big campaigns to come with you. So as Boyd said we look forward to updating you in the weeks ahead about exciting competitive developments and incremental opportunities emerging within and adjacent to the category.
Operator: The next question goes to Lisa Yang of Goldman Sachs. Lisa, please good ahead. Your line is open.
Lisa Yang: Hi. Thanks for taking the question. So just on TikTok. Obviously, it's been almost a month since your recorded capital has been taken down. Just wondering if you've seen any impact at all on your market share on the stream because obviously TikTok does drive some discovery engagement. And also, without TikTok as a promotional tool like what are you doing to keep basically promoting your artist test pushing new releases? And do you think there's a risk of some artist maybe postponing the release schedule? That's the question on TikTok. And the second question is on the margins. Just to be clear the €250 million savings by 2026 that 100% incremental so now of that is going to be reinvested. And if that's the case that will take us to 24% margin already in 2026. So then is there, upside to your B-20 margins you have given previously? Thank you.
Boyd Muir: Maybe I'll start with the margins. Yeah, the $250 million cost savings will be incremental. But it is important to point out that those savings are required to get us to our mid-20s EBIT -- our adjusted EBITDA margin guidance. That was very part of that original guidance and we do have to realign that cost base in order to achieve our mid-20s adjusted EBITDA guidance. Sorry to jump in Michael.
Michael Nash: Not at all. We could address Lisa's questions in any order, and thank you for your questions, Lisa. Let me address the question with respect to TikTok and any impact that we've observed. So it's important to keep in mind, that the recorded music takedowns actually muting the videos only started to take effect at the beginning of this month. So, it's too early to draw any meaningful conclusions from such a small sample of data. And that only addresses the preliminary impact of partial content removal, for a couple of reasons. We provided notices to effectuate muting of millions of videos every day, over the past two weeks. And that's one indication, of how much music content remains to be removed, as the month has progressed. And that's the record of music content. And then keep in mind, that our publishing copyrights are just now starting to be enforced on the platform. So in terms of what we have observed, and this is with respect to the consumption of our content in the ecosystem. Again, too early to make definitive assessments. But to the extent that several weeks of data tells us anything, we do know that Universal Music Group audio streaming consumption, remained stable globally and regionally or frontline and catalog. In fact, we've observed no discernible negative impact, on our broader digital business. In fact, we've seen a slight uptick in terms of frontline consumption and catalog consumption over this short period of time.
Lucian Grainge: I'd like to add one couple of other things. Let me be clear, free doesn't work for us. We have spent years creating, a path to digital monetization in every single category. The monetization is so poor, that a minimal transfer into other platforms will have a better financial outcome for us. And I'm also not prepared to compromise the future of the social category, by doing something that completely undermines the economics for us and for everybody else about that.
Operator: Thank you. The next question goes to Julien Roch of Barclays. Julien, please go ahead. Your line is open. 
Q – Julien Roch: Yes. Thank you very much for taking my question. The first one is on restructuring. Boyd, you were clear that while it was incremental, you needed that to get to your mid-20s EBITDA target. But the market overinterpreted your target, because the original target is mid-20s in the midterm, which is 23% to 27% between 23% and 27% i.e. quarter one range of 27% in 2023 to 23% in 2027. But the market decided that it was 25% and 25%. So are you saying that thanks to that cost cutting, we now have a firmer target of 25% and 25%. That's my first question. And then the second question is on guidance for 2024. Last year, you guided to excluding all the one-off high single-digit organic revenue growth, and you did 12.4 and you guided to at least 100 basis points of margin improvement headline EBITDA and 120. Can we get some indications for 2024 please?
Boyd Muir: Sure, Julien. Excuse me just a second. With regard to the -- I mean I can't comment on what the market is projected. I know, what we were projecting. And in relation to get to that mid-20s EBITDA margin, we've made certain assumptions of our cost space. And the reality is that we've added costs that were inconsistent with that -- with those projections, we were making with regard to in particular our SG and day cost. So, we need to realign those costs in order to bring us back to where we were in our financial projections that supported the mid-20s adjusted EBITDA margin. For this year in terms of guidance I mean we don’t provide annual guidance. And the only thing that I would say that in losing a certain mix or perhaps even more so in my own presentation we did give some direction on a few items. We gave direction on share-based compensation. I gave some comment on expectations with regard to physical revenues. Pretty clear on the cost savings that we'd be actually delivered in 2024 and the associated restructuring costs. So there are a few things in there. I just would say that otherwise the guidance that we provided at the time of our listing that still prevails.
Lucian Grainge: I'd just like to add one other thing on margin. Our entire strategy is about encouraging creating new funnels new funnels taking advantage of digitization and obviously music in the cloud. So we're talking about monetization of the games companies now. We're talking about the future with AI. We're talking about a shift from terrestrial radio into digital radio, which has an entirely different economic outlook. We use our margin to invest and support new categories, new funnels and then we harvest. Then we send the trucks into harvest whatever fruit they provide. And we can't think anything else other than the long-term strategy. So we think in two, three, five years cycles. So I'd add back in terms of margin about how we use the margin where we invest and how we use that to actually create real value and increase margin for the future.
Operator: Thank you. The next question go to Rich Greenfield of LightShed Partners. Rich, please go ahead your line is open.
Rich Greenfield: Hi. Thanks for taking the question. I got a couple that I just wanted to be one housekeeping just to start off. Just to be clear, you've not reached back out to TikTok since the drop. It sounds like from what you were just sort of inferring you're waiting for them to reengage meaning for them to call you all to sort of reengage on a deal structure that you have previously presented. That's the housekeeping point. And then just larger question on just sort of is there any proof points to-date that TikTok not having your music has hurt them? Or is there anything in the past? I mean, I know there's been some drops in the past not of Universal Music, but we go way back in time there were drops of, I think, Warner Music on YouTube. Like is there any proof to sort of show how not having your music has impacted them? And then just, I guess, another housekeeping just on sort of market share, I think everyone sort of knows what Universal Music Publishing market share is on things like Spotify and Apple Music and YouTube Music, but a little less clear of what your market share looks like when we think about all the UGC music and content that's on platforms like TikTok and YouTube? And just how should we think about the overall amount of music on these platforms that's impacted by this impact? Thanks so much for taking the questions.
Michael Nash: Rich, thanks for the questions. And so with respect to the first part of your question, we're not going to comment on the status of any discussions with TikTok for obvious reasons. In terms of how we think about the impact on them, obviously, to some extent that's a question for them. I already talked about the impact for us in terms of no discernible negative impact. And that's quality the fact that we're very early on in the process. And we're early on in a process both with respect to the recorded music and also the publishing components implications of the end of the deal with TikTok. So stressing that it's too early to make these assessments. If you want to take a look at, for example, user engagement metrics, which might be one meaningful way to think about it too early to draw conclusions, but early stage of enforcement of our deal termination. The Aptopia data suggests that year-on-year growth in time spent on TikTok has slowed from 1% in the two months prior to the end of our deal to minus 3% in the second half of February the past two weeks. So if you're starting to get to the inside baseball stage of analyzing weeks of data kind of early on, that's one indication of the applications. Your question about how we think about market share, and to be clear we haven't formally provided any estimate of the combined impact of the non-renewal of our licenses on TikTok platform. And I think you have to consider what are you talking about? Are you talking about popular music, as we think about it? Are you talking about all audio content and that might include sound effects and a lot of AI content. Obviously, we don't think that that should be part of any artist royalty pool calculation, as we make clear. So we're not in a position to comment on what other people are projecting as percentages. What we can tell you is with respect to what the industry data actually says, Luminate which is industry standard had our 2023 recorded music market share in the US alone, at over 38%. And regarding our publishing market share, music and copyright which is kind of the industry viable on this subject reports that our publishing divisions, global market share was over 23% and when you consider co-written works the percentages of songs implicated by our publishing interest is materially higher. So I would say that the industry data suggests that there's a significant amount of repertoire that is potentially implicated in the termination of our licensing deal with TikTok.
Lucian Grainge: And in addition, it is -- it is one branch of thousands of branches of how our long-form, short-form and audio content music catalogs stars, gets to the consumer and gets to the audiences. Let's -- I mean let's put this into perspective Apple, Amazon, Spotify, YouTube, all the Social Categories, The Fitness Categories, Digital Radio, SIRIUS, Pandora, iHeart, all the games promotions that we do online. It's one -- it's a not material part of the multidisciplinary thing or so where we promote and market our music globally.
Operator: Thank you. Our final question goes to Adam Berlin of UBS. Adam, please go ahead. Your line is open.
Adam Berlin: Yes. Thanks for taking me and just three very quick ones on financials just to confirm. Just the restructuring costs you talked about. Are those cash or non-cash? That's the first question. The second one on the employee taxes that you paid and you said, you're going to pay getting March to 132 million. Is that going to be similar in 2024? Or was that particularly high in 2023, because of the larger share-based payment amount and also just to confirm, the 75 million run rate for 2024 is that kind of a run rate you get to at the end of 2024, is that the absolute impact in 2024 on the EBITDA? Thanks.
Boyd Muir: Adam, I'll punch to your questions really, really quickly. One on restructuring the numbers I gave you are cash, the employee taxes that we will cover in cash will be at a similar amount to 2024 and the $75 million of savings are the absolute savings in 2024 is $75 million of a $125 million run rate. The $125 million run rate will land at 2025. $75 million will be crystallized in 2024.
Operator: Thank you. That's all, the question we have for today. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.